Operator: Good morning, everyone. Welcome to the Core Molding Technologies Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, the conference is being recorded. I will now turn the call over to Sandy Martin, Three Part Advisors.
Sandra J. Martin: Thank you, and good morning, everyone. We appreciate you joining us for the Core Molding Technologies conference call to review our second quarter 2025 results. Joining me on the call today are the company's President and CEO, Dave Duvall as well as COO, Eric Palomaki and CFO, Alex Panda. This call is being webcast and can be accessed through coremt.com via an audio link on the Investor Relations Events and Presentations page. Today's conference call, including the Q&A session will be recorded. Please be advised that any time sensitive information may no longer be accurate as of the date of any replay or transcript reading. I would also like to remind you that the statements made in today's discussion that are not historical facts, including statements or expectations or future events or future financial performance, are forward-looking statements and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are uncertain and outside the company's control. Actual results may differ materially from those expressed or implied. Please refer to today's earnings press release for our disclosures on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission. Core Molding Technologies assumes no obligation to update or revise any forward-looking statements publicly. Management will refer to non-GAAP measures, including adjusted EPS, adjusted EBITDA, the debt to trailing 12 months EBITDA ratio, free cash flow and return on capital employed. Reconciliations to the nearest GAAP measures can be found at the end of our earnings release. Our earnings release has been submitted to the SEC on Form 8-K. And now I would like to turn the call over to the company's President and CEO, Dave Duvall.
David L. Duvall: Thank you, Sandy, and thank you all for joining us today. Today, I'm excited to share that we've made major steps forward in our Invest For Growth strategy with respect to exceeding our targets for new business wins and a major organic growth investment as part of our capital allocation strategy. First, we successfully won $47 million of new business in the first 6 months of the year, with 99% of that being incremental. This exceeds our 2024 full year new wins of $45 million. I'm incredibly proud of our team for their hard work, multifunctional collaboration and full organizational engagement around driving this significant investor growth milestone. We continue to add resources to our sales and marketing function to attract new markets with wins in aerospace, like satellite receiver bases and both EV cars and buses. We are seeing success with our campaign to market and sell our SMC or sheet molding compound. As we stated earlier, this has a short quote-to-cash cycle, and we've developed the available capacity. Utilizing AI programs for lead generation, we have identified immediately addressable opportunities of over $200 million in SMC alone, and we're currently in discussions with many of those potential customers today. We are seeing that all the advancements we've made in our SMC operations to improve our capacity, consistency and performance of our SMC formulations are providing a competitive advantage in the market. This is an exciting new revenue stream for our business that is already providing new revenues. We are gaining momentum in our Invest For Growth strategy, and it's truly exciting to see the entire organization engaged in supporting our many customer-focused initiatives. Our new wins this year include being awarded the Volvo Mexico truck business. I'm proud of our team's success and our ongoing ability to deliver on what we commit. Winning this program and partnering with Volvo on their new Mexican facility is awarding accomplishment for all of us. We are powered to be a trusted partner as they launch production from their new manufacturing site in Mexico, and I think it demonstrates the continued evolution and development of our organization's ability to continually improve, which is at the heart of our business goals. Secondly, to support the new business and anticipated additional future business, we are investing $25 million including an expansion of our Matamoros plant and a new plant and equipment in Monterrey, Mexico. Organic growth has been our highest priority for our capital allocation strategy and making this investment not only launches a major truck program but adds DCPD molding or reaction injection molding and top coat paint capabilities to our Monterrey facility. We're excited about making these investments in our organic growth by adding capacity and capabilities to our Matamoros and Monterrey locations as we have known incremental wins that support the investment model. The launch of DCPD molding in Monterrey puts us closer to other large customers that value this process. And with the addition of top coat paint, we are able to provide a customer a fully molded, assembled and top coated painted product. Our Voice of the Customer program has clearly shown us the need for top coat paint, especially in industries like construction and agricultural machinery and aerial lifts. This is a major step in our capital allocation strategy, and we look forward to continuing to grow our business with Volvo and other customers as we increase our capabilities and develop new revenue streams. These are long-term programs, which we anticipate will provide revenues of $150 million over the next 7 to 10 years. I'm truly excited to share these new wins and expansion investments as they embody the significant progress we've made in our sales and marketing function and across our entire organization. With the new wins from this year and prior year, we expect that we would be back over $300 million of annual product revenues in the next few years even at the current truck and power sports demand levels. When you factor in the magnitude of new wins on top of our continued margin expansion initiatives, it makes our future business model very exciting. All of our work in the operations, pricing, customer focus and sales development is absolutely showing in our results and our future business outlook. So in summary, we will continue to: one, successfully drive our sales growth into new markets; two, improve our margin profile through operational excellence and our innovation pipeline and three, invest in growing a business that has proven it can execute well. Developing a world-class engineered material and manufacturing solutions partner is what it's all about. Now turning to our Q2 financial results. Revenue was $79.2 million, with gross margins at 18.1%. Adjusted EBITDA margin grew to 12%, up 30 basis points from Q1 and cash flow from operations is over $9 million for the first half of the year, which exceeds our year-to-date net earnings. As expected, tooling revenue increased by almost $13 million between Q1 and Q2, and we're projecting further growth in tooling this year from our new business wins secured last year. We again delivered strong gross margins this quarter within our projected range with sequentially improving profitability compared to the first quarter as well as positive year-to-date free cash flows. As expected, sales declined in the second quarter when compared to the prior year period by low double digits, representing a sequential improvement from the first quarter. Sustaining strong gross margins, profitability and positive free cash flow on year-to-date double-digit revenue declines in the first half is strong evidence that our must-win battle initiatives over the last 4 years have been successful, and more importantly, we have demonstrated consistently good execution. Now before I turn it over to Alex to give a detailed financial report, I've asked Eric to share comments on some Q2 highlights.
Eric L. Palomaki: Thank you, Dave, and good morning. Many of you I have already met and to those that I have not yet met, I look forward to speaking with you in the future. In a moment, I will share our newest footprint optimization project that fits well into our continuous improvement culture here at Core Molding. But first, I would like to share a few other notable accomplishments and accolades for our company and select employees. Our Director of Materials Science, Vinod Arora, won the American Composites Manufacturing Association or ACMA, Pioneer Award, honoring him for playing a pivotal role in advancing the composites industry through innovation and technical expertise. I personally have had the privilege of working with Vinod over the last 7 years. His vast experience in 40 years in the industry is an incredible asset to Core Molding. We are proud of Vinod and the entire material science team for industry advancements and competitive proprietary innovations they have brought to our customers. Recently, our leader and my mentor, Dave Duvall was nominated for a 2025 Smart 50 Award for leading the implementation of a smart organization and building an enduring organization of products with long-term sustainability. This is an honor for both Dave and the company, and we look forward to attending this event later this month. I'd like to also share an update on our footprint optimization initiative launched at the end of the second quarter, which we expect to complete by year-end as part of our ongoing focus on product level profitability. The current softness in the truck demand created an opportunity to consolidate our resin transfer molding or RTM, process by relocating select programs to another one of our facilities. This strategic move will streamline operations at the originating site and is expected to deliver margin improvement. Alex will provide more detail on this shortly. Lastly, I want to call out our operational teams for their 99% on-time delivery as an excellent 62 PPM performance. PPM, which measures the number of defective parts per million produced is used by our customers to measure quality performance, a rate of under 0.01% indicates a high level of quality and is a testament to the precision of our quality processes. We have also maintained industry low safety incident rates and employee turnover rates, which we take pride in. These favorably trending metrics reflect well on our culture and commitment to excellence across all of our plants. With that, I would now like to turn the call over to Alex to run through the financials.
Alex J. Panda: Thank you, Eric, and good morning, everyone. For the second quarter, net sales totaled $79.2 million, representing a 10.7% decrease from the same period a year ago. Similar to last quarter, product sales were down due to lower demand for power sports, building products and in the medium and heavy-duty truck verticals. This was offset slightly by new product sales to customers in the building products and industrial and utilities markets. As expected, tooling revenues grew by over 3.5x compared to the prior year due to customer launches primarily resulting from our 2024 business development activities. Despite Q2 operating leverage pressure, we maintained our gross margin of $14.3 million or 18.1% of sales. We are pleased with the stability of our gross margin rate, particularly given the significant shift in sales mix with increased tooling revenue. We continue to partially offset lower leverage with operational efficiencies, lower raw material costs and margin optimization. We are maintaining our targeted gross margin range of 17% to 19% for this year. SG&A expenses for the second quarter were $9.1 million or 11.5% of sales flat as a percentage of sales versus the year ago period. Excluding Q2 severance and footprint optimization costs of $479,000 and $200,000, respectively, adjusted SG&A costs would have been $8.4 million. As Eric discussed, we plan to invest $1.5 million this year in a footprint optimization project, which involves relocating the production of RTM products to an alternative plant. We anticipate that this project will generate direct cost savings of over $1 million annually, commencing in January of 2026. For the second quarter of 2025, adjusted SG&A expenses decreased compared to the same period last year due to lower labor and related benefit costs as well as bonus accruals and favorable foreign currency translation. Operating income for the quarter was $5.2 million or 6.6% of sales, down from $7.5 million or 8.4% of sales in the same period in the prior year. The second quarter's interim effective tax rate was 24.4% compared to 16.3% in the prior year quarter. The increase was due to taxable income being generated in the higher tax rate jurisdictions this quarter. Net income for the second quarter was $4.1 million or diluted income per share of $0.47 compared to net income of $6.4 million or diluted EPS of $0.73 in the comparable year period. Excluding the impact of severance and footprint optimization costs, our second quarter diluted EPS would have been $0.53. Second quarter adjusted EBITDA was $6.5 million or 12% of sales. We generated $9.6 million in GAAP cash from operations. And after capital expenditures of $4.4 million, our free cash flow was $5.2 million for the first half of 2025. We continue to expect our preplanned fiscal 2025 capital expenditures to be approximately $10 million to $12 million. In addition to the preplanned capital expenditures, the company expects to invest approximately $25 million related to the award of the Volvo Mexico business over the next 18 months with $8 million to $10 million anticipated to be spent by the end of fiscal 2025. As of June 30, our balance sheet was strong with a total liquidity position of $93.2 million comprising of $43.2 million in cash plus $50 million available under the revolver and capital credit lines. The company's term debt was $20.6 million at the end of the quarter, and our debt-to-EBITDA ratio for the trailing 12 months remains less than 1x. Our return on capital employed was 7.2%, and excluding cash, the rate was 9.6%. As we continue to launch new business, we expect this metric to improve by better leveraging top line performance and driving better asset utilization. Both ROCE metrics are computed using the trailing 12 months of operating income and total capital employed, a pretax metric. Please see our earnings release for the GAAP to non-GAAP reconciliation tables. Our capital allocation strategy remains flexible with a significant focus on organic growth as well as disciplined management of debt and working capital and share repurchases. Throughout the first half of the calendar year, we repurchased 151,584 shares at an average price of $14.82 and we have $2.5 million remaining in our Board-authorized share buyback program. We expect sales to decline in the second half of the year by 4% to 6% when compared to the same period in the prior year. As discussed earlier this year, we expect tooling revenues to comprise a higher percentage of our total sales when compared to prior year. As a reminder, onetime tooling sales are recognized upon the customers' acceptance of the tools, which can shift between quarters. Regarding tariffs, our products in both Canada and Mexico are USMCA compliant and are currently exempt from tariffs. However, we will continue to closely monitor how changes in trade policies affect our customers and their end markets. We will continue to rebaseline expenses to better align them with customer demand. And with that, I would like to turn it back to Dave.
David L. Duvall: Thank you, Alex. Our 2025 first half performance demonstrates that we are systematically driving continuous operational improvements, which is simply part of who Core Molding is. We are also highly focused on further scaling operations, leveraging our fixed cost base and optimizing our portfolio footprint. As foundational to these endeavors, our sales and marketing team continues to prioritize sectors where our proprietary materials and our technical differentiation provide Core Molding with a distinctive competitive moat. We focus on large diverse sectors, including construction, energy, industrial, aerospace and medical markets. Our sales teams are engaged early in the design cycle to expand wallet share and inform customers of our full range of value-added capabilities, including SMC formulation, large part molding and top coat paint. We're excited about the wins we're seeing this year in newer markets, such as the new pickup box panels for small EV trucks, the satellite tracking systems and winning the Volvo Mexico business, which are all data points demonstrating positive results. We are investing in the relocation and optimization of specific large presses and launching a new plant near our existing plant in Monterrey, Mexico to accommodate new business wins in the region. We plan to expand our DCPD or reaction injection molding processes for large OEMs in the area we already serve, and we'll add top coat paint to enable a full-service partner model. We will expand on this more on our next earnings call. But overall, we are ready to invest when customers trust us with their long-term business. We are also proud that we have maintained gross margins in the 18% to 20% range despite significant top line headwinds this year. Our focus on continuously improving our performance positions core so that as our top line grows, the positive operating leverage will drop to the bottom line. We will continue to strengthen our operations and take the necessary actions to drive long-term business capability and profitability. We are seeing the most promising opportunities in construction and transportation, but we are confident this is only the beginning. New areas are emerging and will continue to evolve in the construction sector, such as the windows market and more in the industrial sector for customers seeking composite mats. As stated earlier, we estimate that the combination of new program launches from existing customer wins over the next 2 years will return us to the annual product revenues exceeding $300 million. Furthermore, our portfolio capacity including presses, processes and automation is capable of supporting top line growth to $450 million. Despite our first half business wins, we are staying humble. We continue to see the major markets we serve in a lower-than-expected demand environment. Tariff uncertainties are causing some delays in the market, both in demand and in the awarding of new programs. We have one major truck customer described this year as the great pause, but we do see things starting to move towards stabilization, and we are preparing for the eventual revenue rebound. We continue to move forward with our Invest For Growth initiatives this year, and we are finding ways to attract new customers and increase wallet share with current customers. Our must-win battle, profitability improvements allow us to invest in future growth and significantly reduce the variations in our margins. So on another topic, I'd like to address the announcement of my planned succession, which was shared shortly after our earnings release this morning. At the end of May 2026, I plan to retire as the company's President and CEO. As part of our succession plan, I will remain fully involved with the strategy as an executive adviser to the Board and leadership team until December of 2027 the following 19 months. We've been working on the strategic transition for over 2 years, and the Board and I fully support Eric Palomaki as my successor. Eric possesses the right passion, skill set and leadership abilities for the position. Eric has been an integral part of developing Core's business systems and his institutional knowledge of our systems will allow a seamless transition. Eric is a talented professional who has a keen ability to develop and drive innovations and product development as seen with some of our new wins. Eric and I have partnered throughout the business transformation and he has earned respect of the entire organization and our customers, which will enable him to succeed in driving the company forward upholding Core's fundamental values and ensuring a disciplined execution of our investor growth strategy. During Eric's 7-year tenure, working he has consistently demonstrated exceptional leadership qualities, incredible innovation and new products and a deep understanding of our industry. Like other executive transitions at Core Molding, Eric has undergone a rigorous executive training process, both internal and external to the company and collaborated with the entire management team every step of the way. His promotion last year to Chief Operating Officer, allowed him to lead and collaborate with all levels of the organization in preparation for this next step. Now I want to thank our team for their continued dedication and excellence, our customers and shareholders for their trust and our board for its ongoing support. Lastly, I'd like to share that Eric, Alex and I are planning to attend the Midwest IDEAS Conference in Chicago on August 26. We look forward to connecting with many of you for further discussions while we are there. With that, let's open the line for questions. Operator?
Operator: Certainly. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Your first question for today is from Chip Moore with ROTH.
Alfred Shopland Moore: Dave, I guess first off, congratulations on in order, Dave, for you and then Eric for you as well. So congrats. Yes. I want to start, Dave, you sounded pretty bullish on the growth outlook, particularly getting back to $300 million plus of product revenues. I think you said within the next 2 years? And was that -- did I hear you say even if truck and power stays sort of at depressed levels? How should we be thinking about that? And with Volvo ramping in '27, I assume any thoughts on product revenues next year?
David L. Duvall: Yes. I mean, we would expect that the truck market would start coming back. We see in ACT at sometime in '26. We're not really -- we're not banking on that. But with the new wins from prior year and this year launching this year and into next year and then with the Volvo program, we see clear line of sight being back on product revenues of $300 million.
Alfred Shopland Moore: Got you. And capacity 450, so you're in good shape there. Maybe just...
David L. Duvall: Yes, the only challenge that we ever have with capacity, similar to what we said is sometimes we don't have the right size press in the right location.
Alfred Shopland Moore: Yes. Okay. No, that's great. And just in pipeline and those new wins are impressive, right, $47 million more than last year, and I think it was $30 million just a couple of months ago. So -- where are you seeing those incremental wins? And what's the outlook for the back half of the year on pipeline?
David L. Duvall: Yes. I mean we're really excited and continue to be excited in the industrial for the mats. We still continue to work on that. We have other opportunities there. We are working with some of our customers like in the construction area like UFP on some really unique projects that have opportunities coming up. But I think in the wins, it's really we look at the EV and the municipal buses and the small truck programs as far as being able to use our composite processes for the beds and tailgates for the truck. So that's some pretty high volume as well as the panels and the Volvo Mexico. I think the satellite business is a new market for us where we see that potential to take off. And we've got some wins in that already that we already declared in the $47 million. The big one that was really driving when we talk about the shorter-term wins is really promoting our SMC. We've done a lot of work in our facility as far as cold storage and how to mature the SMC and investments in the capital to really stabilize, improve the output and consistency and the speed at which we're able to make that. So we've significantly increased our capacity and consistency in that. And now using the AI lead generation, we -- it was actually a lot more than I thought. I thought I knew, but I didn't.
Alfred Shopland Moore: Yes, AI is amazing. And you said, Dave, I think you're tracking a $200 million-plus...
David L. Duvall: Yes, it's more than that, but we took out what we call captive. So if you look at the SMC market, those who mold SMC like a car, they would be your largest SMC maker, but they're captive into their own industry. SMC is usually a big part of the value proposition. So you either need to make it as part of your value proposition or make sure that you're buying consistently good SMC that you can mold and has the features you need. So we subtracted out what we call the nonaddressables.
Alfred Shopland Moore: Got you. So that's -- yes, that's immediately accessible. And you have capacity in place to serve that? And does'nt have to be trucked with like a certain temperature and those type of things? Just walk me through that.
David L. Duvall: Yes, we had talked about that quite a bit. We have the capacity to get maybe 3/4 of that. And -- but in that time frame, we would be able to install more capacity as needed.
Alfred Shopland Moore: Got it. Okay. Very helpful. Maybe if I can ask one more, just sneak one in. The $25 million CapEx in Mexico, obviously, for Volvo, but what about that adjacent opportunity with some of your customers? I think you talked about the paint, top coat and...
David L. Duvall: Absolutely. Yes, as part of our strategy, you hit it right on the head, that's how we're looking at it. So the $25 million, we have to expand our Matamoros facility. We're going to move DCPD or reaction injection molding out of that. We're going to move that into a Monterrey facility that's close to our current Monterrey. And if you remember, our Monterrey facility is only 50,000 square feet is leased and it's landlocked. So we really can't do more with it. So we're moving to a facility fairly close to where we are at 150,000 square feet. We'll be putting top coat paint, DCPD structural foam and we're also looking at large part high-pressure injection molding. And that location puts us with DCPD close to one of our other major customers, so it significantly reduces their logistics cost and opens up the opportunities to grow more business with them.
Alfred Shopland Moore: Okay. Great. Now I appreciate taking all the questions, I'll hop back in.
David L. Duvall: I appreciate it.
Operator: [Operator Instructions].
David L. Duvall: All right. So I don't know if we have any other questions. It doesn't see there any coming up. Okay. So thank you for your continued interest in our company. We look forward to providing an update on our progress when we report our third quarter results. Thank you, and have a great day.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.